Operator: Welcome to the Full Circle Capital first quarter fiscal 2015 earnings conference call. (Operator Instructions) I would now like to turn the conference over to Stephanie Prince. Please go ahead, ma'am.
Stephanie Prince: Thank you, Brent, and good morning, everyone. This is Stephanie Prince of LHA. Thank you for joining us for Full Circle Capital Corp's first quarter fiscal 2015 earnings conference call for the quarter ended September 30, 2014. With me this morning is John Stuart, Full Circle's Chairman and Co-Chief Executive Officer; Gregg Felton, President and Co-Chief Executive Officer; and Michael Sell, Chief Financial Officer. If you would like to be added to the company's distribution list, please send an e-mail to info@fccapital.com. Alternatively, you can signup under the Investor Relations tab on the company's website. The slide presentation accompanying this morning's conference call can also be found on Full Circle's website under the Investor Relations tab at fccapital.com. Before I turn the call over to management, I'd like to call your attention to the customary Safe Harbor statement regarding forward-looking information. Today's conference call includes forward-looking statements and projections, and we ask that you refer to Full Circle's most recent filings with the SEC for important factors that could cause actual results to differ materially from these projections. Full Circle does not undertake to update its forward-looking statement unless required by law. To obtain copies of the latest SEC filings, please visit Full Circle's website under the Investor Relations tab. I'd now like to turn the call over to John Stuart, Chairman and Co-CEO of Full Circle Capital. John?
John Stuart: Thank you, Stephanie. Good morning, and welcome everyone to today's call. I will begin our discussion with an overview of our strategy, recent developments and results for the first quarter. Gregg will then review the portfolio activity and current portfolio composition, as well as provide a view on Full Circle's forward opportunities. Finally, Mike will give a detailed discussion of the quarter's results. On Slide 3, accompanying the webcast, we provide an overview of our investment strategy. Over the past year, you've heard us discuss the actions we have taken to implement a planned design to broaden our investment platform to further capitalize on market opportunities and inefficiencies. We have made significant additions of personnel to our investment team, which have resulted in increased access to deal flow, including opportunities beyond our core direct origination activities. Accordingly, new investments have included a select number of primary and secondary market purchases of syndicated loan facilities as well as participations alongside other lenders in club financings were directly originated deals are large enough to require a handful of lenders. There are a few important themes we wish to convey on this morning's call that are a direct result of the initiatives we have undertaken. First, as just mentioned, the additions to our investment team have led to increased deal flow and a greater breadth of opportunities. The result of this has been a significant increase in portfolio assets. Portfolio assets were $132 million at September 30, up from $95 million a year earlier. With our larger team and resulting deal flow, we believe we can manage at higher relative investment levels and further optimize portfolio investment returns. Second, to increase returns from the current portfolio, we have been working though some of our challenging positions by either exiting positions to redeploy capital in income producing assets or in limited cases like Blackstrap Broadcasting, restructuring the position into a performing investment that provides an attractive return within a better credit profile. The third item we want to highlight is the previously announced expense arrangement with our investment advisor. Full Circle Advisors has agreed to provide reimbursement to Full Circle Capital for annual operating expenses that exceed 1.5% of net asset value in fiscal 2015 and 1.75% in fiscal 2016 and subsequent years. This expense cap is designed to provide stockholders with accelerated benefits that would be realized through greater scale with a larger capital base. Finally, the intended result of all of these actions is to increase returns to stockholders. Assuming static portfolio metrics, we believe these actions position us to generate sufficient investment income to cover the current distribution. This is a key goal for all of us on this call. Given our forward expectations, our board has decided to maintain the current monthly distribution rate of $0.067 per share for holders of record through March 31, 2015. Looking forward, we are pleased to be at or near full investment levels. Our forward growth will be somewhat dependent on access to additional capital at attractive level. Our access to debt financing continue to strengthen in the quarter, with the previously announced amendment to our revolving credit facility, which was expanded to provide greater investment flexibility and increased maximum sizing to $60 million. We do not expect to raise additional equity capital at current depressed valuations, and intended to await improved market conditions to grow our capital base. On Slide 4, we provide summary details about our fourth quarter results. During the quarter, we recorded net investment income of $1.8 million or $0.16 per share, up from $1.5 million or $0.15 per share in the prior sequential quarter. The investment portfolio grew from $125 million to $132 million in the quarter. Portfolio assets were a bit higher during the quarter, as we sold $12.6 million of positions at quarter end to provide capacity to fund privately originated transactions in the second quarter. We reported a net increase in net assets from operations of $200,000 or $0.02 per share. This number was impacted by negative fair value adjustments to positions in the portfolio, the majority of which relate to our equity positions that have had continued volatility over the year. You should note that all per share numbers reflect the higher share count related to the equity offerings that we completed in the fourth quarter and first quarter. Our net asset value was $6.24 per share at September 30, down from $6.38 per share at June 30, primarily for the reasons just mentioned and from return of capital from over distribution of earnings. We have two investments on non-accrual and we are working expeditiously to resolve each of these positions. ProGrade Ammo Group was placed on non-accrual in July, after we declined to extend additional credit to the company. We are working to achieve our recovery through either the outright sale of the business or through liquidation of assets we hold as collateral. Since June 30, we have collected approximately $1.4 million through realization of accounts receivable and inventories from disposition. To quote, our resources was placed on non-accrual in October, as the development of the business has taken longer than anticipated, and we believe capital should be reinvested to grow the business rather than used for debt service. Again, we are very much focused on monetizing these assets by collecting cash proceeds from collateral liquidation or otherwise redeploying capital into income earning assets. On November 3, our Board of Directors declared the monthly distributions for the third fiscal quarter of 2015. Stockholders of record on January 30, February 27 and March 31, 2015, will receive distribution payments of $0.067 per share in the middle of each following month. This maintains our current quarterly distribution of $0.20 per share or an annualized distribution rate of $0.80 per share. This equates to a 13.8% distribution yield based on the November 7 closing price of $5.84 per share. The record dates and payment dates for these three monthly distributions are detailed here on Slide 4 as well as on the first page of the earnings release we issued last night. All of this information is also available on our website. I'll now turn the call over to Gregg, for a discussion of origination activity and portfolio composition.
Gregg Felton: Thanks, John. I'm pleased to report that our origination activity remains robust, as we entered fiscal 2015. Increased deal flow is directly attributable to our efforts to expand our avenues for asset production, including through an expanded investment team and broader market relationships. As presented on Slide 5, we funded $27.9 million of investments in the September quarter. Not included in this number was an additional $10 million of investments that were funded through FC Capital Investment Partners, which represents third-party capital managed by Full Circle Capital. Of the $27.9 million, $21.2 million represented four new portfolio companies and the balance represented additional fundings to existing borrowers. Realizations in the quarter are detailed on Slide 6, and totaled $16.2 million. U.S. Path Labs paid off in full. At the end of the quarter, we sold two of our more liquid positions, RCS Capital and Dynamic Energy Services for a combined $12.6 million. The proceeds of these investments have been used to fund additional privately originated opportunities. Our activity, subsequent to the September quarter end is summarized on Slide 7. We funded $8.75 million to two new borrowers and we received $4.1 million from the full payoff of the Esselte pay positioned and a partial paydown of the PEAKS Trust investment, which will produce a short-term capital gain in the current quarter. As you can see on Slides 5 through 7, our recent portfolio investments continue to represent a broad range of sectors and the diversified mix of origination sources, each of our new investments is in the form of a first lien secured senior facility. I'd like to highlight one of the larger investments that we closed during the quarter. Good Technology is one of the leading players in the mobile device management sector, which is focused on ensuring information security for corporate clients. We purchased $20 million of an $80 million first lien financing for this company, including $10 million that we placed with FCIP investors. While the stated coupon is only 5%, our all-in return is expected to be in the high-teens, as this financing has a 115% redemption price at three year maturity. Moreover, we receive four year warrants to acquire equity in the company, which is expected to go public by March of 2016. Payoffs continue to be both predictable and manageable. Slide 8, details the metrics of our investment portfolio, which continue to increase in number and diversity, with 27 portfolio investments as compared with 22 a year ago. We also have emphasized first lien investments, which now represent 95% of our portfolio. As of September 30, our portfolio totaled $132 million, up from $125 million last quarter and up substantially from the $95 million that was invested as of the end of the first quarter a year ago. The average size of our debt investments is $4.6 million and the weighted average interest rate in the fourth quarter was 10.53%. Floating rate loans represent 75% of the portfolio and our loan-to-value ratio was 62% at the quarter end. I'd now like to pass the call over to Mike for a discussion of our financial performance in the first quarter.
Michael Sell: Thanks, Gregg. Please turn to Slide 9, which provides an overview of the first quarter financial highlights. For the first quarter of fiscal 2015, interest income was $3.9 million compared to $3 million in the first quarter of fiscal 2014, an increase of 30%. Net investment income was $1.8 million compared to $1.2 million for the same time period last year, a 48% increase. On a per share basis, NII was $0.16 in both periods, reflecting the year-over-year increase in our weighted average share count. Net realized and unrealized losses were $1.6 million or $0.14 per share during the past quarter. Net unrealized depreciation was $2 million, and was comprised of $0.5 million of net unrealized depreciation on debt investments and $1.5 million of net unrealized deprecation on equity investments. Realized gains on investments were $0.4 million or $0.03 per share. We reported a net increase in net assets resulting from operations of $200,000 or $0.02 per share. Per share amounts for the quarter are based on approximately 11.9 million weighted average shares outstanding compared to 7.6 million weighted average shares outstanding for the first quarter of fiscal 2014. This increase reflects multiple common equity offerings that we have completed in calendar 2014. Net asset value was $6.24 per share at September 30, down slightly from $6.38 per share at June 30, primarily resulting from the net unrealized losses during the period. Slide 10 illustrates the composition of the portfolio, highlighting the predominantly floating rate nature of our portfolio. In the first quarter 75% of our portfolio of loans carried a floating rate and the bulk of our portfolio or 95% was invested in senior secured loans. Please turn to Slide 11, which highlights the important balance sheet items. On September 30, our total assets were $148.5 million. At the end of the quarter, the investment portfolio at fair value totaled $131.5 million, ahead of the $125.2 million value at June 30, reflecting the sales, payoffs and new investments that occurred during the first quarter. Total liabilities were approximately $74 million. This includes $33.6 million outstanding on our 8.25% notes and $37.1 million in outstanding borrowings on our senior line of credit. Available liquidity at September 30 was approximately $19 million, of which we invested $8.8 million in two new portfolio investments after the end of the first quarter. I will now turn the call back over to Gregg.
Gregg Felton: Thanks Mike. Over the past year we have successfully broadened our investment team, grown our pipeline and diversified our investment portfolio. We believe these enhancements will lead to improved shareholder returns. As we continue to build our platform, we expect these improvements that we have made over the past year will result in improved earnings power and more sustainable shareholder distributions. We'd now like to open the call for questions. Operator, let me turn it over to you.
Operator: (Operator Instructions) And your first question comes from the line of Casey Alexander with Gilford Securities.
Casey Alexander - Gilford Securities: I'm a little curious about the restructuring of Blackstrap. I mean on the surface it appears as though you took a $3 million term loan priced at 80% that was in trouble. And you added $6 million, turned it into a revolver, marked up the par and increase the valuation on the loan and increased the rate by 5%. What I'm curious about is, why should we feel anymore comfortable if they were having trouble paying off a $3 million loan at $50,000 a quarter, then we should be more comfortable with them paying $400,000 a quarter or $300,000 a quarter with anything other than your own money, paying you your own money back? Why should investors feel more comfortable about this loan now than they did before?
John Stuart: Let me address that. There are a couple of elements to that that improved the credit profile substantially. Number one, they had two radio stations, one of which up in Boston was losing a significant amount of money. We have cauterized that loss and they are in the process of basically disposing of that station to one of the company's managers. So that increased the cash flow of the business. Further, the company has entered into a purchase transaction with its main appropriate time tenant to take over the station directly. So we've eliminated the operating overhead of Blackstrap Broadcasting to a significant degree, further enhancing the cash flow profile of the business. So from an operating standpoint, cash flow is up substantially from where it was. And in fact, the New York station had a fairly static performance over the years that we've been involved in the credit. So the credit profile has improved from a cash flow standpoint as well as there is greater security with the revenue stream from the main tenant. In terms of what we did, in terms of restructuring, and we did buyout our co-lender in the transaction at a discount to par amount and then redid the loan to its current face value that you see on the summary of investments.
Gregg Felton: What I would say in addition to that is John talked about the credit profile of the borrower improving, which we can give you more details on it, if you'd like offline as well. But I think as it relates to the balance sheet of the borrower, what happened here is that we repurchased, as John said, our co-lender, but really extinguished were reduced substantially the amount of debt that was due by virtue of the discount at which we were able to acquire. So there is not only an improved underlying credit profile, but a reduced debt burden. Now, the fact that it's reduced, you're looking at it relative to our prior mark, which was at a substantial discount on the first lien and we were holding the second lien at zero. But what I would tell you is that from my perspective, I looked at this personally as an opportunity to evaluate two options. One is, to sell Blackstrap, because there was a bid that we were considering for the station, and selling and monetizing that investment as option one. Or option two, is the prospect of restructuring it, by putting out new dollars, acquiring the first lien co-lender at a discount and restructuring it into something, which was potentially worth more than the bid, right. And the reason I mentioned those alternatives is to give you the sense that we did evaluate two options. The one that we pursued was not rolling a bad investment, but rather pursuing what we thought was an opportunity that was better than liquidation, in terms of the outcome. And that's the reason why we went ahead and restructured this deal. It was after consideration of alternatives, and we thought we could put it into a attractively income producing asset.
Casey Alexander - Gilford Securities: I understand that. And forgive me, but looking at the current mark versus the previous mark is the only reference point that I have. And I know just that the par value on the subordinated was marked up $2 million as well. Is that a part of buying out the co-lender at a discount?
John Stuart: Sure. Michael take that.
Michael Sell: That was actually part of the restructuring. So this was a two-stage process. One was, we had a co-lender that was in a large portion of the note. We purchased out their portion for added discount as previously mentioned. The second step was, we reconstituted facility, whereby the face amount of the senior note was reduced. The interest rate was increased. Both of those things obviously making the senior note more valuable, one, from a current return perspective, the other from a detachment point perspective. Part of the reduction of that first note, until the finalization of the transaction John mentioned, was to move face value from the first to the second, to accomplish the reduction in face amount on the first, which is the instrument we expect to continue through the entire year of the asset purchase arrangement.
John Stuart: So I want to make sure that's clear, because I think it's a little bit complicated. There were two facilities, a first lien and the second lien. The effective transaction that we were trying to accomplish was to buyout the co-lender in the first lien, at a level that was attractive to be the sole lender through the first lien, right. That sort of those offer we were doing. The accounting for that is what Mike's getting to, where there is a shift that is designed really to put us in a position to recalibrate the balance sheet in a way that we think is appropriate. And we end up having an effective cost basis, so of the 2 point pro forma, the old mark of $2.44 million that we were looking at in a mark-to-market sense, $2.4 million; we added $6 million of new money that's $8.44 million, and then you get to the valuation point, which Mike I think you should speak to.
Michael Sell: Right, by recreating the instrument with a lower detachment point and lower risk inherent across all of the dollars of exposure from a par value perspective as well as increasing the current coupon from, I believe you mentioned 6%, 5%, I think it went from 6% to 11%.
Casey Alexander - Gilford Securities: That's why it went up by 5%?
Michael Sell: Exactly. The senior instrument inherently had more value on a standalone basis, while considering the credit profile of the end.
Casey Alexander - Gilford Securities: The senior instrument now is a revolver, but previously it was a term. Does that mean that based upon the way that it's put in the statement here that there is still $3 million available on the revolver or are they fully drawn at $9 million your cost. And secondly, are they using the revolver for the purchase transaction of the station with the intent of then terming out that portion of the loan later on?
Michael Sell: The amount currently borrowed by the borrower is $12 million. Our cost basis is about $9 million, reflecting the fact that our prior cost basis was $3 million, and we were able to purchase the remainder of the facility for $6 million. The prior facility was actually, if you looked at it on an aggregate perspective, was a revolver; our portion was termed out to us by the agent.
John Stuart: Within the revolver.
Gregg Felton: And just to make sure we capture the last part of your question, which is we do think of it as fully funded. The debt facility notwithstanding the fact that it's been labeled a revolver is funded paper that the borrower is servicing today with the current interest rate and otherwise. There is no new dollars. In fact, the buyer here or the investor that we referenced that was, the time brokerage arrangement that John talked about came up with it equity dollars, so is actually putting capital in rather than looking to us to extend the capital. And then finally there is an amortization feature on the loan, which is designed to cause it to de-risk over time. Based on the cash flows that we believe are able to be paid by this new buyer.
John Stuart: And the new buyer will once that transaction is completed, he's filed the application with the FCC. And we expect that to close sometime in January, February of next year, we will end up with a term loan instrument and it'd be termed out, Casey.
Operator: Your next question comes from the line of Mickey Schleien with Ladenburg.
Mickey Schleien - Ladenburg: I just was curious about Advanced Cannabis. I saw that they bought a property and got a mortgage from an entity called Evans Street Lendco, and I was under the impression you guys had an exclusive right to all their debt and it just sort caught me off guard. Could you explain that to me?
Gregg Felton: Sure. Couple of things; one is there was a previous, a prior financing that we I think referenced on a prior call as it relates to a marketed deal by a firm called Spencer Edwards that has been the source of funding that's been available to the company. For sometime they drew that facility down. It was convertible facility, and that capital was available for the purpose of funding any small projects. We have been in dialogue with the company. It is accurate to say that we have a right to be the sole credit provider. The company has seen opportunities that it has brought to us and asked us whether we would be okay with them seeking alternative financing. And for small projects we've given them the green light, if our judgment accretive to the company, but it is absolutely accurate to say that we continue to hold the right to be the sole financing provider to this company and that continues to remain unchanged. I would say, in addition things that we continue to work through with that issuer, that are in our minds relevant to the story, the company is working on re-listing, they're working with FINRA. There is a process they have to go through. So there's a variety of things get going on there that certainly are part of the calculus from our perspective. But we are in the position, as you understood us to be, to be the financing source.
Mickey Schleien - Ladenburg: So what kind of projects they could potentially undertake that you would approve of them using the convertible facility that you have with them?
Gregg Felton: I mean I think the short answer to that is to the extent that there were opportunities in the real estate market, where they were able to identify transactions of size where the loan-to-value characteristics were sufficiently attractive, I think you can appreciate the fact with the de-listed stock, the value of that conversion feature is less interesting today than it was when the company had a liquid tradable in stock. And so I think we'd be thinking about the loan-to-value characteristics of that real estate a little bit differently, than if that conversion feature had more liquid value to it. That being said, we did re-strike during the period our warrants. We did it with an expectation of making capital available on projects they may bring to us. There is a new Chairman by the name of Michael Feinsod who was brought in to help add management depths to the company. They are working on a variety of things. They are pursuing litigation against the individual there who was responsible for some activity that caused the regulators to step in. There's a variety of things that are going on there that are part of a long-term plan, if you will, to create a better forward path. But from our perspective, we continue to be in dialogue and evaluate discrete opportunities with the company.
Mickey Schleien - Ladenburg: And one follow-up question, if I'm not mistaken your fee income declined pretty significantly in the quarter. It's actually been on the downward trend since the end of 2013. Historically, that was a fairly sizeable amount of investment of the income, now it's not. How should we think about that on a going forward basis relative to the velocity of the portfolio?
John Stuart: Some of that's shifting, because of the nature of the types of the transactions that we're funding. On the more broadly syndicated transactions, we don't recognize origination income. So you'll see that the mix is going to change, if investment's going to change, which will affect the upfront fee income that's being recognized. Further to that, payoffs have been somewhat muted. So the prepayment penalties aren't coming in as much as they were a year ago. I said in the last call that we don't expect a lot of payoff activity right now, because the portfolio has grown substantially in the last year. Obviously, there's a latency into when payoff activity starts to hit, as well as position start to mature and people would look to exit. So yes, the fee income has been somewhat muted, although it still remains an important part of our investment income.
Operator: Your next question comes from the line of Michael Diana with Maxim Group.
Michael Diana - Maxim Group: John, you mentioned when you were going through your goals from the beginning or your goals for this call anyway, one was coverage of the dividend. And I noticed that the weighted average portfolio interest rate was 10.5% this quarter versus about 11.3% last quarter. Now, I know part of this has to do with Blackstrap and that happened at the end of the quarter, but can you walk us through maybe a little, how you're going to get there?
John Stuart: Yes. Obviously, coverage of the distribution is paramount and extremely important to us. And that's been one of the main objectives through the year. That's a good question, Mike. I'm going to ask Mike Sell to fill that question, because what you're saying is, the 10.5% is the coupon within the portfolio, but it is not the yield from the portfolio and that drives investment return. So Mike, if you want to handle that?
Michael Sell: Sure, John. I think John made a relevant point, I think one of the key moments of consideration in this is, the 10.5% disclosure is the coupon or in stated rate on our instruments. In terms of overall interesting company generation, there are couple positions in our portfolio that we either purchased primarily at a discount due to the fact that there was another instrument involved in the purchase or that we were able to purchase on the secondary market at a discount to par value. And as you're aware that discount will accrete into as interest income overtime and will generate more topline revenue from the instrument, as compared to just the coupon rates. So while the coupon rate has gone down, we view the earnings potential or the topline revenue potential of our debt instruments to be fairly similar to where it's been historically. In regards to the overall statement regarding coverage, I mean there's a couple of factors that come into play this quarter versus prior; one of which is, we expect our investment level to be higher, because at quarter end it is higher. The prior quarter in the June 30 to September 30 time period, we started with a lower portfolio balance. We raised some equity at the very beginning of that quarter, which could put a damper on our return profile. And when you look at those versus where we set at September 30, I think you could pretty easily extrapolate the fact that we are in a better position to generate revenue during this current quarter. Additionally, the incremental or the marginal capital that we're utilizing to fund portfolio transactions, at the end of the September 30 quarter and at the beginning of the December 31 quarter, it is the cheapest capital that we have in our capital structure, which is our senior secured revolving line. And I know we've spoken to this a couple of times historically, but this is a point in time, where we're able to maximize the impact of that line on our bottomline by drawing 3%, 4% capital and deploying it in 10%, 11%, 12% investments. And then, I think worth reiterating here is that the advisor has agreed to reimburse the operating expenses to get them to a level that you would typically see, if we were operating with a much larger equity base. And when you wrap all that together, I think you can look at where we were at September 30, and have a pretty, I don't want this simple, because it's not nice, but maybe an objectively simple bridge between how do we get from where we were to where we expect today.
Gregg Felton: One specific thing to add Mike, as an example, because Mike talked about two ways we can have different coupon income versus all-in yield. I'll use two examples, one would be PEAKS, which is a facility we've talked about and we bought it at prices of $0.80 and $0.85, two discrete transactions. It's been amortizing at par. So naturally the all-in yield there is quite a bit higher than the stated coupon of 7.5%. 7.5% on the low-80s is a higher current yield on the price we bought it, but it's also substantially higher effective yield, because it's amortizing quickly at par, I think 40%-plus of that is already paid off at par just months after we bought it. Another example that I think I referenced on the call, but I'll reference here for the purpose of coupon versus yield is Good Technology. We bought the substantial position for our balance sheet, which is $10 million of Good Technology with a stated coupon of $5 million, but of the 100% of purchase price about 23 points of the ascribed value are associated with have warrants we received to purchase stock in the company post-IPO. And of course that leaves 77% of the allocated value to the bond, which gets us to an all-in yield expectation in the high-teens they we reference. So those were some examples of the types of things that create a difference between the stated coupon and the effective portfolio yield.
Operator: Next, we have a follow-up question from the line of Mickey Schleien with Ladenburg.
Mickey Schleien - Ladenburg: Mike, you were talking about tapping into the credit facility to fund future investments, but if I have my numbers correct, the balance at the end of the quarter was $37 million on a $45 million facility. I know there is an accordion, but you're already running debt-to-equity of about 1 to 1. Are you implying that you're willing to run the balance sheet at more than 1 to 1 debt-to-equity?
Michael Sell: No. I'm not. Actually, at the end of the quarter we were still awaiting capital to be received from what we previously referred to as more liquid investments that we sold. And you believe, the $16 million that was then coming into paydown, that senior secured revolver, which we will then turnaround and redeploy out of the same facility. And as you can see in our slides and our release some of that money has already been redeployed. But from a snapshot perspective, at September 30, we were still awaiting those proceeds.
Mickey Schleien - Ladenburg: But just stepping back, is 1 to 1 sort of your target leverage?
John Stuart: It was 1 to 1 our target. I think the short answer to that, which I think is an important point to reiterate is we're certainly not going to go above the regulatory capital of 1 to 1. And we'll naturally run close to it with an appropriate buffer. But I think the other thing to take away, which is important, and we've said it both in the release and in this call is we have no intention of issuing equity at current level. So the only way that we would therefore be buying new investments is to recycle, if we had paydowns, monetization of things like ProGrade, other paydowns that we maybe working on that would allow us to recycle that capital. And so in the absence of equity issuance, as you know, we don't have a lot of room to grow total investments on a net basis only to recycle capital.
Mickey Schleien - Ladenburg: By the way, I don't see the slides on your website, so you might want to check on that after the call.
John Stuart: We'll do, appreciate that.
Operator: And there are no further questions at this time. Please proceed with your presentation or any closing remarks.
John Stuart: Thank you, operator. In closing, we thank you for attending the call this morning. And we look forward to speaking with you on our second quarter earnings call in mid February. Until then, as always, please do not hesitate to reach out to me, Mike or Gregg, at any time should you have any additional questions. Thank you.
Operator: Ladies and gentlemen, that concludes your conference call for today. We thank you for your participation. And as such, you please disconnect your lines.